Operator: Greetings. Welcome to the Third Quarter Fiscal Year 2022 Earnings Call for Adtalem Global Education. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host Chandrika Nigam, Senior Director Investor Relations. You may begin.
Chandrika Nigam: Thank you. I’d like to remind you that this conference call will contain forward-looking statements within the meaning of the safe harbor provision of the Private Securities Litigation Reform Act of 1995, with respect to the future performance and financial condition of Adtalem Global Education that involve risks and uncertainty. Actual results may differ materially from those projected or implied by these forward-looking statements. Potential risks, uncertainties, and other factors that would cause results to differ are described more fully in item 1A risk factors of our most recent annual report on Form 10-K filed with the SEC and other filings with the SEC. Any forward-looking statement made by us is based only on the information currently available to us and speaks only as of the date on which it was made. We undertake new obligation to publicly update any forward-looking statement, whether written or verbal that may be made from time to time, whether as a result of new information, future developments, or otherwise, except as required by law. During today’s call, our commentary will refer to non-GAAP financial measures, which are intended to supplement, though not substitute for, our most direct comparable GAAP measures. Our press release, which contains the GAAP financial and other quantitative information to be discussed today, as well as a reconciliation of GAAP to non-GAAP measures is available on our website. Please note that all financial results and comparisons made during today’s call are on a continuing operations basis, excludes special items and are in comparison to the prior year period unless otherwise stated. Telephone and webcast replays of today’s call are available for 30 days. To access the replays, please refer to today’s press release. We’ll begin today’s presentation with prepared remarks from Steve Beard, Adtalem’s President and Chief Executive Officer; and then hear from Bob Phelan, Senior Vice President and Chief Financial Officer. Following the prepared remarks, we will have a question-and-answer session. And with that, I’ll now turn the call over to Steve.
Steve Beard: Thank you, Chandrika. Good afternoon, everyone and thank you for taking the time to join our third quarter fiscal year 2022 earnings called today. On our second quarter call back in February, I highlighted several key action items for the third quarter. I’m pleased to report that we successfully delivered on each of them. Specifically, we completed the divestiture of our Financial Services segment for $1 billion. We deployed $770 million of net proceeds to repay debt, resulting in reduced net leverage of 1.7x, fulfilling our commitment to deleverage to less than 2x within 24 months of the Walden Close. In fact, we did it 18 months earlier than promised. Simultaneously, we initiated $150 million accelerated share repurchase program using existing cash, and the company’s board of directors authorized open market share repurchases for up to $300 million over the next 36 months. Finally, we continue progress on the integration of Walden with a focus on realizing cost synergies and implementing a new, more efficient operating model to support future growth. These actions, taken together, allow us to sharpen our focus on the attractive healthcare education space, with the goal of becoming the leading provider of professional talent to the healthcare industry. We now have appealing opportunities for market segmentation across our five leading brands, and the ability to engage leading healthcare systems and other employer partners through our market-leading breadth, depth, and scale. With our sharpened, focused, strengthened balance sheet and clarity of purpose, we’re well-positioned to deliver substantial value to all of our stakeholders. Now, let’s take a closer look at highlights for the third quarter. Our performance in the quarter was within our expectations, as we recorded total enrollments of 82,174 students, resulting in revenue of $365.6 million and expanding operating margins by 320 basis points, year-over-year, despite lingering macroeconomic headwinds. We also reported adjusted EPS of $0.87, which was 45% higher than the third quarter in the prior year. During the quarter, we continued to successfully rationalize our cost structure while making targeted investments in enhanced capabilities. We remain on track to meet or exceed our target of delivering $30 million in cost synergies by the end of fiscal 2022, all while positioning the portfolio for sustainable momentum, going into fiscal 2023. We continue to make progress in deploying the new operating model that I discussed in my comments during the second quarter call. Among other attributes, this model focuses on the strategic use of shared services, a redesign marketing function and enhanced customer experience capabilities. I’m pleased to report that during the quarter, we introduced an enhanced marketing function poised to better serve the entirety of our portfolio through a dynamic and data driven allocation of investment, a renewed focused on brand and better connectivity to conversion and enrollment. Our customer experience team also made good progress in the quarter on harmonizing the data we use to track student engagement across our institutions with the goal of delivering predictive insights that our faculty can leverage to drive improved persistence. In addition to executing on our operating model, we also made a critical leadership hire during the quarter with the appointment of Cheryl James, as Senior Vice President and Chief Human Resources Officer. The unprecedented challenges faced by companies today to attract, retain and engage talent have elevated the role of human resources in creating thriving organizational cultures. Cheryl is a proven executive and talent strategist with a track record of enhancing competitive advantage in attracting and retaining talent, while also driving the change management and cultural shifts necessary for the full scale operating model rollout that we’re currently undertaking. Cheryl also has considerable experience in enhancing the impact of diversity, equity and inclusion programs. And we look forward to her elevating our already robust DEI profile. I’m confident that our family of institutions will benefit immensely from the years of leadership experience Cheryl brings to our teams in addition to her affinity for our mission and a commitment to performance excellence that will benefit all of our stakeholders. With respect to mission, the third quarter saw more evidence of our commitment to academic quality and strong student outcomes. The combined first time residency attainment rates at our medical schools were among the highest we’ve enjoyed in the time we’ve operated these institutions. The American University of the Caribbean School of Medicine achieved 96%, while the Ross University School of Medicine achieved 95%. In addition, our institutions helped more than 700 current and former graduates in our U.S. residency programs in 2022. I’m extremely proud of these accomplishments and our leadership teams continued focus on maintaining high academic quality and strong student outcomes. Taken together, our outcomes in the quarter bolster my confidence in our ability over the long-term to expand the value we create for students to make an outsized impact on addressing the chronic workforce shortages in healthcare and in doing so, closing the gap between our market capitalization and intrinsic value. While I’m bullish on our long-term prospects, in the near-term, it remains a challenging time for our institutions and the industry more broadly in terms of student enrollment. Over the last several quarters many pandemic fatigued healthcare professionals have delayed their educational plans resulting in a continued decline in enrollments, particularly in our post-licensure nursing programs. However, when the pandemic-related headwinds subside, and a more normalized demand environment emerges, we expect to see an improvement in year-over-year enrollment trends with the opportunity to grow revenue in an enhanced model with consistently better operating leverage. For fiscal year 2022, we are reiterating our outlook for revenue, while raising our guidance for adjusted EPS to reflect the use of proceeds associated with the financial services divestiture. Bob will elaborate more on this in his remarks. While we won’t be providing guidance for fiscal 2023 until our next earning call, let me offer some preliminary observations on key factors for the next fiscal year. First, as I noted above, when the negative effects of the pandemic on our industry begin to wane, and we return to a more normalized demand environment, we anticipate improved enrollments across our institutions. From a profitability perspective, we will begin fiscal 2023 with run rate cost synergies from the integration of Walden, which remain on track. Walden remains an instrumental catalyst in the transformation we’re undertaking as we look to realize the benefits of its unique capabilities, its breadth of programs and an attractive set of cost and revenue synergy opportunities. In addition, we’ll have a full year of benefit from the savings on interest expense as a result of deleveraging our balance sheet. We remain committed to our capital deployment priorities of repaying debt, returning capital to shareholders and continuing to invest in the core business as the demand environment recovers. And finally, as it relates to the regulatory environment, our entire strategy over the past six years has been to shift our focus to programs with national standards and outcomes validated by third-parties where the return on investment for the student and the taxpayer is most attractively tangible. While we expect the administration to continue its focus on greater accountability for the profit sector, we believe we are well served by our positioning and our outcomes. Our student commitments adopted in 2016 are independently reviewed on an annual basis. We’re proud of our student outcomes as measured by the same objective measurable standards that not-for-profit institutions, such as the USMLE, NCLEX, and Natalie pass rates. And our cohort default rates are among the lowest in all of higher education. These attributes and outcomes give us confidence that we can continue to be a valuable partner to both the administration as well as diverse communities across the country that seek to address the severe healthcare inequities that exist today. Despite the great need for more healthcare professionals, significant gaps remain between aspiring physicians, nurses and veterinarians, and their access to the academic programs necessary to launch healthcare careers. At Adtalem, our mission is to provide that access. In doing so, we transform lives and enable careers, while enriching the communities our graduates serve. I want to take this opportunity to thank our entire team for their steadfast commitment to serving our students. And with that, I’ll turn the call over to Bob for a discussion of our financial results.
Bob Phelan: Thanks, Steve. Today I’ll review our financial results for the third quarter and the key drivers for our performance. And then I’ll discuss our expectations and assumptions for the balance of our fiscal year. Let’s begin with the summary of our financial performance during the quarter starting with the top line. Revenue in the third quarter increased 58.8% to $365.6 million compared with the prior year driven by the acquisition of Walden. Consolidated operating income, excluding special items in the third quarter was $76.5 million, an increase of 87.4% compared with the prior year due to the addition of Walden and operating efficiencies. We continued to expand our operating margin 20.9% an increase of 320 basis points compared to last year, driven by the operational efficiency and realization of cost synergies associated with the Walden integration. Net income from continuing operations, excluding special items was $42.8 million, a 39.5% increase compared with the prior year driven primarily by a higher operating income from Walden. Diluted earnings per share excluding special items for the quarter was $0.87 an increase of 45% compared with the same period in the prior year. Next, I’ll discuss the highlights of the third quarter by segment. The Chamberlain segment reported third quarter revenue of $142.6 million, a decrease of 2.6% when compared with the prior year, and operating income of $37 million up 2.4% from $36.1 million in the prior year. The increase in operating income was primarily the result of lower labor and other operating expenses. Total student enrollment during the quarter decreased 4.3% compared with the prior year, which was primarily attributable to COVID-related headwinds in our post-licensure programs as the Omicron surge coincided with the January intake leading to fewer new starts. Total pre-licensure enrollment continued to grow driven by improved persistence. Turning to Walden. Revenue in the third quarter was $139.1 million. The segment operating loss was $2.9 million driven primarily by intangible amortization expense. Segment operating income, excluding special items was $26.2 million. Total student enrollment during the quarter decreased 8.4% compared with the prior year due to COVID-related headwinds in our post-licensure programs as a recent surge, further burden nurses leading to fewer new starts. Post-licensure nursing in non-healthcare focused programs experience the most significant headwinds, while social and behavioral science programs continue to perform relatively well. We expect the COVID headwinds to subside over time and believe that demand for nurses will continue to outpace supply over the long-term representing strong growth opportunities for us in the future. In our Medical and Veterinary segment, both revenue and operating income were relatively flat year-over-year at $84 million and $14.9 million, respectively. Segment operating income, excluding special items was $19.5 million, an increase of 30.1% compared with the prior year driven by overall cost reduction efforts. Total student enrollment decreased 1.2% compared with the prior year, which was primarily attributable to COVID related headwinds. But the ongoing abatement of COVID-19, we’re expecting a more favorable environment for enrollment in this segment, while we continue to focus on our cost savings initiatives to improve the profitability of the schools. And as Steve has mentioned in his remarks, we are incredibly proud of the strong first time residency attainment rates at both medical schools. Now let’s turn our focus to cash flow, balance sheet and capital structure. Net cash provided by continuing operations was $77.4 million. Our capital expenditures for the quarter totaled $7.5 million. As a result free cash in the third quarter was $69.9 million. As a reminder, we define free cash flow as cash provided by continuing operations, less capital expenditure. During the quarter, we accomplished significant milestones in our financial strategy. We completed the divestiture of the Financial Services segment for $1 billion, with a goal of maintaining our focus on our core assets and we have already used the net proceeds from the sale towards repayment of debt. While $397 million of our term loan B was paid down in the third quarter, in April we also purchased $373 million of our senior secured notes. As a result, total debt was $1.25 billion as of March 31, reflecting a significant reduction of 24% or $397 million during the quarter and a further reductions from our purchase of senior notes will be included in our Q4 results, which will then reflect the reduction in debt of approximately 47% or $770 million. These actions provide additional liquidity and reduce our interest costs, thereby enhancing operational and strategic flexibility. We expect annualized interest expense savings of approximately $40 million as a result of paying down the $770 million in debt. Our balance sheet is strong and our leverage is significantly lower at the end of our third quarter. Focusing on our commitment to reducing the significant gap between the intrinsic value of our assets and our equity market capitalization, we repurchased 4.7 million shares of the company’s common stock for $150 million in an accelerated share purchase agreement using existing cash. In addition, our Board of Directors also authorized open market share purchases of up to $300 million of the company’s common stock over the next 36 months, which would be funded by existing cash and future free cash flow. In summary, with a strong balance sheet and free cash flow, we are very well positioned financially to continue to pay down debt and return capital to shareholders, while investing in growth and productivity initiatives across our businesses. Turning to our outlook for the balance of fiscal 2022, we reaffirmed our guidance for revenue and raised our guidance for adjusted diluted earnings per share for the full year. We expect adjusted revenue to be within the range of $1.35 billion and $1.39 billion and adjusted diluted earnings per share of $3.15 to $3.35 from continuing operations, excluding special items. Our full year guidance was raised due to the lower interest expense as a result of paying down debt and reduce share count from the execution of our accelerated share repurchase program. In conclusion, our energies are focused on accelerating our growth, improving our execution and allocating our capital wisely. We are moving forward with sustainable operational and financial improvements that will yield benefits for years to come. With that, I will now turn the call over to the operator for Q&A.
Operator: [Operator Instructions] Our first question is from Jeff Meuler with Baird. Please proceed with your question.
Jeff Meuler: Yes. Thank you. Good afternoon. So I know new enrollment’s not a reporting metric from a quantified perspective anymore, but I guess there were some references to the environment and I heard you expect a more favorable environment. Omicron was a headwind, obviously, we’re past that and hopefully, we don’t have more waves, but we’ve heard from some others in the space that do report new enrollment, that they’ve seen some improved trends, or we’ve heard from others, a better demand. Just can you kind of like shape up the current state of the environment the last month or two after the Omicron headwind subsided? Are you seeing any improvement yet, or just kind of a current environmental update please?
Steve Beard: Sure. Thanks for the question. I don’t think we’re seeing anything that we would be prepared to call a trend, but we are cautiously optimistic that what we’re seeing by way of inquiries and interest in our programs, what we’re hearing anecdotally from our employer partners at hospitals, and health systems suggest that we may be on the cusp of a wane in sort of the lagging tailwinds related to COVID. But nothing that we’re ready to call as a trend just yet, but we’re optimistic that the worst of it is behind us.
Jeff Meuler: Okay. And on capital allocation, just– I understand kind of the categories, business, investment, debt repayment, repurchases, I want to ask about debt repayment versus repurchases. As you said, you hit your deleveraging target with the sale proceeds ahead of the original plan. And I get that you find your stock attractive. So is there a steady state leverage target, or I guess, how are you thinking about debt repayment? I would’ve thought there would’ve been more focus on repurchases now that you’ve delevered.
Steve Beard: Yes, I’ll start and I’ll let Bob jump in. Our first priority was meeting our commitment to get below 2x net leverage, which we’ve done. Obviously, we think there’s opportunities for additional debt repayment down the road. We’re obviously in the middle of wrapping up hopefully soon, the accelerated share repurchase. And I think how we strike the balance of capital allocation between debt repayment and share purchases is really going to be a reflection of the market conditions around the equity and the cash needs of the business. But I’ll let Bob elaborate on that.
Bob Phelan: So the only thing I would add to that, Steve, I agree with what you said, is just that over the near term, we’re still in the market in terms of the accelerated share repurchase program. So I would expect near term, that it would be more of an allocation towards repayment of debt.
Jeff Meuler: Okay. And then just last for me on the marketing program, I get that it’s relatively recently rolled out. So this might be a better question in a quarter or two. But any anecdotes you can provide on the effectiveness of the new approach.
Steve Beard: Yes. So it starts with having a world-class Chief Marketing Officer onboard in the form of Maurice Herrera, who I think is doing a fantastic job to bring a more customer-centric, outcomes-focused, and data-driven approach to marketing. I think one of the more important elements of that is that we’ve sort of broken down the wall between marketing and enrollment, so that we’ve got, you know, no leakage, if you will, going forward in what happens between the time leads coming to the system and all of the mechanisms around conversion. So too early to call it, but the early indications are really, really positive. And I, as the company’s CEO, am really gratified to have much more data to just sort of quantify the return on investment we have with marketing spend. So more to come on that, but I’m excited about it.
Jeff Meuler: Sounds good. Thank you.
Operator: [Operator Instructions] It looks like we have reached the end of the question-and-answer session. And I now turn the call over to Stephen Beard for closing remarks.
Steve Beard: Great. I just want to take a moment to thank all of our colleagues across the Adtalem portfolio. It’s been a fantastic eight months for me in the seat. I’ve been really, really impressed by the way folks have galvanized around this new corporate identity focused on healthcare. And I think the best days for the company are ahead of us. So I’m just really grateful for the support I’ve gotten internally. So thank you to everyone at Adtalem.
Operator: This concludes today’s conference and you may disconnect your lines at this time. Thank you for your participation.